Operator: Ladies and gentlemen, thank you for joining us, and welcome to the Independent Bank Corp. Fourth Quarter Earnings Call. Before proceeding, please note that during this call, we will be making forward-looking statements. In addition, some of our discussion today may include references to certain non-GAAP financial measures. Information about these non-GAAP measures, including reconciliation to GAAP measures may be found in our earnings release and other SEC filings. These SEC filings can be accessed via the Investor Relations section of our website. Finally, please note that this event is being recorded. I would now like to turn the conference over to Jeff Tengel, President and CEO. Please go ahead.
Jeffrey Tengel: Good morning, and thanks for joining us today. I'm accompanied this morning by CFO and Head of Consumer Lending, Mark Ruggiero. Our fourth quarter results reflect ongoing progress towards restoring Rockland Trust's historically strong performance. Quarterly highlights included continued NIM expansion, strong C&I growth, solid non deposit growth, stable credit costs, realized cost savings from the Enterprise acquisition and the return of excess capital to shareholders. Between the first quarter of 2025 and the fourth quarter of 2025, our operating EPS increased by 60%. Our operating ROA rose by 40 basis points, and our operating ROTCE improved by 529 basis points. Reflecting on 2025, it was a busy and rewarding year as we gained traction on a number of key initiatives. First, we closed an integrated Enterprise. I want to extend my immense gratitude to their former Chairman and Founder, George Duncan, as well as all of the Enterprise colleagues who help champion the integration process. Acquisitions are never easy and often are disruptive to the day-to-day operations of the bank, the Rockland Trust and Enterprise team members collaborated to ensure disruptions were kept to a minimum. Let me share a few examples with you. On the commercial banking side, we have retained almost 100% of client-facing personnel and have experienced negligible customer loss. Obviously, keeping the relationship managers has helped retain the customers. Despite distractions from the acquisition and integration process, there has been no material drop-off in Enterprise loan production, and their pipeline remains as strong as it was when they joined Rockland Trust in July. On the retail banking side, it is again important to emphasize that we did not close any Enterprise branches and all Enterprise branch employees were retained. Excluding ICS and municipal deposits, all Enterprise branches have exceeded our 95% deposit retention target with approximately 60% of these branches having stable to increasing deposit balances. Given the acquired bank typically loses 10% of their deposits post deal, we are delighted with our performance. In the fourth quarter, we opened 271 business relationships and 837 new consumer relationships in the acquired branches. Within our investment management group, we've been able to retain almost all employees. We have targeted the caliber of talent and strength of the client base and the depth of relationships between colleagues and clients are outstanding at both Rockland Trust and Enterprise at a client-centric focus and the cultural integration has been excellent. Secondly, we made solid progress on the credit front. Our net charge-offs averaged just 11 basis points over the last 3 quarters of the year and the challenges within our office portfolio are identifiable and manageable. Third, we continue to rebalance our commercial lending business. C&I loans increased 9% organically in 2025 and now represent 25% of total loans versus 22% at year-end '24. Commercial real estate balances were down 3.6% organically from year-end 2024 were flat from the third quarter. Our CRE concentration stood at 289% at year-end, we believe we have achieved most of the targeted reduction in transactional CRE business. Total commercial loans closed and were $789 million in the fourth quarter, up from $754 million last quarter. Funding on these commitments were $454 million versus $396 million last quarter. 52% of fourth quarter fundings were C&I. Our middle market C&I group continues to gain momentum as evidenced by the fact that it represented 27% of total closed commitments in the quarter. The regional banking, which represents Rockland's traditional lending business, accounted for 39% of total closed commitments. I would also note that our low-income housing tax credit business injected $100 million of capital into our communities. And lastly, we were named Massachusetts Third Party Lender of the Year for 2025, showing a solid progress in the SBA space. Fourth, we generated solid organic growth in non-time deposits of 4.2% in 2025, which has been a historical strength of ours. DDAs represent a healthy 28% of overall deposits about where we were pre-pandemic. The cost of total deposits was 1.46% in the fourth quarter, highlighting the immense value of our deposit franchise. Legacy Rockland Trust branches generated record new business relationships totaling 6,921 and 3,463 net new relationships. 97% of branches achieved positive net new growth in business relationships in 2025. 100% of all our legacy branches achieved positive net new consumer growth. Fifth, our Wealth Management business continues to be a key driver. Our AUA remained stable at $9.2 billion in the fourth quarter, while revenues grew at a 4% annual rate. Lastly, we returned $164 million of capital to shareholders in 2025, including the repurchase of 913,000 shares for $61 million. With the Enterprise acquisition completed in 6 months of customer integration behind us and with credit trends stabilize, we'll enter 2026 laser-focused on organic growth, expense management and capital optimization. With respect to growth, I would highlight the following items. We hired a number of commercial lenders in 2025. In addition, we're working to ensure our alignment and incentive structures to emphasize both loan and deposit growth. We are also intently focused on identifying opportunities within our acquired footprint to deepen our relationships with our expanded product set. Lastly, given the improved credit metrics, we are more open to resuming normal commercial real estate growth. As we always highlight, loan growth will be commensurate with our deposit growth. On the expense front, with the Enterprise transaction complete, we believe a hold-the-line mentality with respect to staffing levels is appropriate. We will continue to invest prudently in technology to leverage efficiencies. Examples include our core systems conversion scheduled for later this year and our AI innovation team. Our AI efforts are focused on enhancing back-office efficiency, including fraud review day-to-day processing and BSA/AML. With respect to capital, we acknowledge that current levels are above our internal targets and our improved profitability will add upward pressure to our capital position. We remain committed to returning excess capital to shareholders. We believe fourth quarter results represent another major step forward in driving improved growth and profitability at Rockland Trust. We expect to build on this strong performance in orders ahead. Prudent expense and capital management, combined with improved organic growth and sustained NIM expansion position us to unlock inherent earnings power. I feel particularly confident in Rockland Trust's positioning across our markets, driven by the strength of our products, the dedication of our people and the effectiveness of the strategies we've put in place. I want to thank all Rockland Trust employees for their tremendous efforts in making 2025 a successful year. Every measure of our success is a direct result of your commitment. On that note, I will turn it over to Mark.
Mark Ruggiero: Thanks, Jeff. I will now provide a bit more color into some of the fourth quarter numbers that Jeff just discussed and wrap up with full year 2026 guidance. To summarize the quarter results, 2025 fourth quarter GAAP net income was $75.3 million and diluted earnings per share was $1.52, resulting in a 1.20% return on assets, an 8.8% return on average common equity and a 12.77% return on average tangible common equity. Excluding $12.3 million of merger and acquisition expenses and the related tax impact, the adjusted operating net income for the quarter was $84.4 million or $1.70 diluted EPS, representing a 1.34% return on assets, a 9.8% return on average common equity and a 14.3% return on average tangible common equity. It is worth noting that the fourth quarter results also benefited from a lower tax rate due to onetime adjustments associated with the filing and true-up accounting of the 2024 corporate tax return as well as the finalization of all tax-related estimates inclusive of the Enterprise acquisition. Diving more into the fourth quarter results, we'll start with loan and deposit growth. As Jeff alluded to in his comments, commercial growth was driven entirely by C&I, which increased 7% annualized for the quarter and over 9% on an organic basis for the year. This focus on C&I lending has also helped fuel an almost 50% increase in new commercial deposit generation in 2025 versus the prior year. On the consumer real estate side, total loan balances were relatively flat with an increased level of mortgage production sitting at year-end in the held-for-sale category, which bodes well for mortgage banking income momentum heading into 2026. And lastly, though much smaller in volume, a 2025 initiative to build out a more robust premier banking offering, drove a nice increase in the quarter and our wealth management secured consumer lines of credit. On the deposit side, I already mentioned the calendar year commercial deposit activity. But for the quarter, total period end deposit balances declined 0.8% and due mostly to seasonal business deposit activity related to year-end bonuses, distributions and tax payments. We are encouraged by the growth in average deposits for the quarter across both the consumer and business lines, with 3.6% annualized growth in average core deposits, while we allowed for some level of attrition in our highest rate time deposits. In terms of a capital update, tangible book value grew nicely at $1.04 for the quarter to $47.55 at year-end. During the quarter, we repurchased approximately 548,000 shares for $37.5 million, representing a weighted-average repurchase price of $68.39, and as Jeff noted, we are committed to returning capital to shareholders via buyback in a prudent manner throughout 2026. Shifting gears to asset quality, the overall picture remains very stable. Total nonperforming assets stayed relatively consistent at $85.7 million or 0.45% of total loans. Net charge-offs for the quarter were $5.3 million, with $4 million of that related to a C&I relationship that was fully reserved for the last quarter. Provision for loan loss was $4.75 million and total criticized and classified levels decreased 8.9% during the quarter. Moving to net interest income. Despite the modest balance sheet growth, Net interest income increased $9.1 million to $212.5 million for the quarter. The reported margin increased 15 basis points to 3.77%, while the adjusted margin, which excludes purchase loan accretion and other significant onetime items, increased 10 basis points to 3.64%. Breaking down the components of that 10 basis point increase. First, we were able to effectively reduce our cost of deposits by 12 basis points during the quarter to an impressive 1.46% total cost of deposits. This reflects an approximately 30% beta on the average Fed funds decrease of 40 basis points quarter-over-quarter, right in line with our expectations. Second, loan yields stayed relatively flat when excluding purchased loan accretion, as immediate repricing on floating rate loans was nicely offset by continued yield expansion from cash flow repricing. And lastly, the vast majority of the securities book continues to see yield expansion driven by repricing. Our fee income businesses performed right in line with expectations for the quarter. Assets under administration ended the year at $9.2 billion, with the expanded footprint and resources providing nice momentum heading into 2026. And we are optimistic that both loan level swap up and mortgage banking income should continue to serve as a natural hedge against any pressure over longer-term rates. On the expense side, I would point you to Slide 12 in our earnings deck to provide some context over the fourth quarter results. In addition to providing insight into our 2026 guidance, which I'll soon share. As noted on this slide, total fourth quarter expenses of $142 million on an operating basis, represent a 3.7% increase versus the prior quarter, which can primarily be attributed to a number of large onetime or outsized expenses. To highlight a few, the fourth quarter included a $2 million increase in incentive expense versus the prior quarter. $750,000 of consulting expense related to our 2026 core system upgrade, a $750,000 swing in equity securities valuations, an updated FDIC insurance premium assessment, which created an almost $1 million change quarter-over-quarter and approximately $325,000 in snow removal expense. So as noted on this slide, which is difficult to extract from the noisy reported results, we peg our core expenses plus full cost saves from enterprise right around the $136 million number for a quarter. With that, I'll now finish up with full year 2026 guidance. Before I get into the various components, a lot of the fundamentals that we have been highlighting over the last few quarters give us strong conviction in our ability to improve earnings in a focused, sustainable manner throughout 2026. As such, we have established 2 primary profitability targets for the fourth quarter of 2026. The first is return on average assets of 1.4% and the second is return on average tangible capital of 15%. As for the drivers behind those targets, starting first with loan growth, we are targeting mid-single-digit percentage growth for C&I loans, low single-digit percentage growth for combined CRE and construction and flat to low single-digit percentage growth for total consumer as we anticipate a higher percentage of mortgage volume to be sold versus the 2025 levels. For deposit growth, we are targeting low- to mid-single-digit percentage growth for total core deposits while relatively flat to slightly lower balances for time deposits. For the net interest margin, we are modeling in 2 Federal Reserve rate cuts, which we continue to suggest will drive a fairly neutral impact on the margin. Assuming the 5- to 10-year part of the curve stays consistent with current rates, we anticipate continued margin expansion from cash flow repricing dynamics in both the loan and securities portfolios. Assuming purchase loan accretion of 10 basis points, we estimate the net interest margin to continue to grow to a range of 3.85% to 3.90% in the fourth quarter of 2026. From a credit standpoint, we have no significant loss exposures that are currently in workout status. And as such, we expect overall asset quality metrics to remain stable. Regarding noninterest income, we guide low single-digit percentage growth off of the 2025 second half combined annualized results. And for noninterest expense, again, referring back to the details on Slide 12, we are estimating a range of $550 million to $555 million for full year operating expenses, plus another $4 million to $5 million for onetime costs associated with our planned core system upgrade. And lastly, for the tax rate, with the significant increase in pretax income versus 2025 results, we project a full year tax rate in the 23.50% to 24% range. I will close out with a reminder that the fewer number of business days in the first quarter will typically result in lower first quarter earnings versus the rest of the year. And with that, that concludes my comments, and we'll now open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Jared Shaw with Barclays.
Jared David Shaw: Maybe if we could just start with the -- on the credit side in Slide 9 with the office. Can you just walk through some of the dynamics with the change that we've seen, sort of the criticized classified was down but NPLs are up, and it looks like the criticized classified '26 maturities increased. What was sort of the backdrop of that?
Mark Ruggiero: Yes. I'd say the most notable mover in terms of NPAs versus prior quarter is one specific loan that is now in the first quarter 2026 maturity bucket. So that's the $18.1 million classified balance there. That's one relationship that was actually originally scheduled to mature last quarter. We put it on a short-term extension, that deal is actually with our current P&S. We expect that to go through. Right now, the negotiations are going well. The appraisal we had on that actually suggested there was sufficient protection from a valuation standpoint, but the P&S that is in process suggests a small loss there. So we did reserve about a $2 million loss in the fourth quarter. So that's already in the allowance, but we expect that to get resolved here early in 2026. So that was probably the biggest -- the only downgrade for the quarter, Jared. I think on a positive front, we had a maturity in the last quarter that was approved. This was a $27 million loan. That continues to perform well. That was actually upgraded from a risk rating standpoint. When you look out into 2026 and you look at the criticized and classified levels that are disclosed, it's really just a handful of loans. As I mentioned in my guidance, there isn't really anything out there that has imminent loss exposure that we feel exposed to, I think anything with a very modest loss like the one I just talked about, we've already specifically reserved for. So we feel good about the office book.
Jared David Shaw: Okay. And then maybe shifting over to deposits as we move through the year and with that guidance sort of a backdrop, where do you see betas coming through with potentially a couple more cuts here. Do you still feel like you can get 20% in the non-CD beta and 80% in CD? Or how should we think about that?
Mark Ruggiero: Yes. I do, Jared. I think fourth quarter was a really good example of our ability to do that. I talk a lot about how this deposit franchise is structured. We have real visibility into a lot of the small balance core deposits that we don't move a lot on, what we would call our rack rate pricing. We're probably only in a 5% to 10% beta in that bucket, but it's the higher rate more sensitive where we do very deliberate what we call exception pricing, and that's the bucket where we typically are seeing 70% to 80% beta. So that combined methodology gets you to that 20%, give or take, all-in deposit base -- beta on the non-time deposits. And We've talked a lot about keeping the CD book relatively short for that reason as well. So we are really well positioned to continue to get some cost savings on the CD book, if you see the Fed continuing to cut.
Jared David Shaw: Okay. And if I could just sneak 1 final one. Looking at capital continuing to grow and the success you've had with some of the deals in the past, what's the outlook on M&A? And I guess, maybe what's the sort of the feeling on the ground from potential sellers in the market?
Jeffrey Tengel: Yes. So we -- as we've said this a lot over the last few quarters that we're really not focused on M&A at the moment. We're -- the priorities are organic growth, launching our expenses and focused on the conversion that's coming towards the latter part of the year. And we got to get the conversion right. You don't get a second chance if you don't. And we were able to get the conversion and enterprise done, we think, pretty well. And so we're working at making sure the same experience happens with the entire the entire enterprise come October. And so those are the things that we're really focused on. I would say M&A is not one of them.
Operator: Your next question comes from the line of Mark Fitzgibbon with Piper Sandler.
Mark Fitzgibbon: First, I just wanted to follow up on Jared's question as it relates to capital. Jeff, you had mentioned that you have internal capital targets. Is that something you'd be willing to share with us, whether TCE or CET1 or whatever you look at?
Mark Ruggiero: Yes, I can jump in there, Mark. I'd say long-term capital targets for us, CET1, probably in the high 11% to 12% range, call it, 11.75% to 12%. I think that suggests your tangible capital in the 8.75% to 9% range. So certainly, suggests lower than where we are today, which is why we are talking a lot about expecting to continue to return capital to shareholders via buyback in a prudent manner. I don't think you're going to see us get to those levels certainly in the next 12 months just from buying back stock. But I'd say long term, that's where we should be optimizing capital.
Mark Fitzgibbon: I guess the challenge is based on your projections, organic growth is going to be relatively modest in the near term. So it looks like capital will continue to build unless you're aggressive with buybacks. And I would suspect that sort of $168 or $170 of book, it's kind of hard to justify doing buybacks up at these levels. So I guess how else -- if M&A is out of the equation and buybacks that are out of the equation, organic growth doesn't get you there? Do you raise the dividend? Or is there something else that we're missing?
Mark Ruggiero: I would suggest, I don't believe buybacks are out of the equation. I know -- I get your point in terms of the valuation has moved nicely. I look at our profitability profile and the future profitability profile, and I would suggest we'd be comfortable buying back at levels in 2026. So I think that the target would be to keep capital fairly flat via buyback through 2026 and allow us to deploy capital, hopefully in a better growth environment heading into 2027.
Jeffrey Tengel: I would also just add, Mark, maybe to slice it a little bit finer on the M&A question. Bank M&A, clearly not interested. But if there is an RIA that we thought was a good fit and we could get it at the right price and continue to build the wealth management business, we would consider that because it doesn't involve a big systems conversion. I think the execution risk is much less, assuming the culture is very similar to ours and there -- this is the business model they want to be in.
Mark Fitzgibbon: Okay. And then just pivoting gears a little bit. You guys have seen non-accruals decline in the last 2 quarters. And one of your competitors sort of said today that they thought the third quarter was sort of the peak in this cycle for credit issues. Do you agree with that? Or do you think we're out of the woods? Or do you see things on the horizon that cause you to be a little bit cautious?
Jeffrey Tengel: We don't see anything on the horizon per se that makes us cautious. I think in general, we're cautious because of all the geopolitical noise and the potential for more tariffs and things like that. It makes our customers a little anxious. And so I would say there is that. But the traditional ways that you might think of being worried about our credit profile, I would say we do think we're at the peak or pretty close to the peak. I know Mark and I often get asked the question, how -- this is a baseball game, how many innings? What inning are we at in the credit cycle? And we haven't been asked that in a few months, I guess. But honestly, I would say like 8 or I don't know, Mark and I haven't talked about this [indiscernible].
Mark Ruggiero: I was going to say the same thing. We might be making the call into the bull pen soon.
Mark Fitzgibbon: Okay. Great. And then lastly, I guess, framing the M&A question a little bit differently. There's a bunch of similar-sized banks in Eastern Massachusetts today. I guess, philosophically, I'm curious, do you think that a well-structured and priced MOE can work?
Jeffrey Tengel: My -- I have a bias against MOEs just because they're difficult to manage. There's more risk in it. The ones that have worked, I think, are fewer than the ones that haven't worked. And you need to have a -- one person in charge. And invariably, with these MOEs, you get like, okay, you get a position here and then you get a position here. It's like a trade-off. And unless the companies are incredibly well positioned, both financially and culturally and everything else, I think it's hard to make those work.
Operator: Your next question comes from the line of Steve Moss with Raymond James.
Stephen Moss: Maybe just starting here on loan pricing here. Just kind of curious what you guys are seeing in the market for C&I and CRE loans these days?
Mark Ruggiero: Yes, it's competitive. I think not surprisingly in our market. I think in some C&I deals, you're seeing some of the spreads competitively bidding out under 200 basis points. But we're getting our fair share of deal flow at the pricing we would like, which is 200 plus. So I think in the fourth quarter, all in, you saw total loan yields in the mid 6s. So that kind of reflects the pricing that we'd like to be getting in an environment like this. So I think as long as we're -- kind of my caveat there on the margin guidance, as long as you're seeing the 5-, 7-year part of the curve, stay where it is, I'd like to see loan yields staying in that range, which has given us the nice lift on the repricing aspect of it.
Stephen Moss: Okay. appreciate that. And then in terms of just the maturing cash flows from the securities book this year, Mark, what are your thoughts in terms of deploying that just into securities or maybe be a little more aggressive on pricing CDs down? Just kind of curious how you're thinking about that.
Mark Ruggiero: Yes. I really like where we are with total securities as a percentage of the balance sheet today. So I would say the vast majority of what will generate cash flow out of the securities book will likely go right back into the securities book. If we start to see any major variations and the rest of the balance sheet composition, that could change slightly. But I think general guidance would be expect to see securities stay relatively flat, meaning we're putting the $670 million, that's repricing, that's coming off right back into the bank. And just to remind you there, a big portion of that, Stephen, is at lower rates. So of the $670 million, $625 million of that is yielding about $180 million today. So if we're conservatively assuming to put that back into 4% securities, that's a nice lift to the securities book throughout 2026.
Stephen Moss: Yes, 100% on that. And then in terms of -- maybe just the other thing in terms of hiring talent here. Just kind of curious what are you guys plans for hiring additional commercial loan officers? I know, Jeff, you talked about wanting more organic growth. I'm just kind of curious as to how you guys are thinking about those plans and where they may be these days?
Jeffrey Tengel: Yes. I think at the moment, we're in a good position. A number of the people that we hired in the second half of last year came over into a relatively new segment of the commercial business. And so some of them came over without a portfolio. And so I think there's a lot of just inherent C&I growth that we can get from getting some of our new hires, basically the support that they need and just let them go. They all came over with a Rolodex, and we feel pretty good about their ability to drive activity and drive volume.
Stephen Moss: Excellent. [indiscernible] nice quarter. I appreciate all the color here.
Jeffrey Tengel: Thank you.
Operator: Your next question comes from the line of Laurie Hunsicker with Seaport Research.
Laura Havener Hunsicker: Jeff and Mark. I Wanted to start here with expenses and really appreciate the Slide 12, and really appreciate your breakdown of the $5.1 million. But I just wanted to make sure that I heard it right. Included in that $700,000 was from the core systems upgrade and that's...
Mark Ruggiero: That's right. In the fourth quarter, we had some consulting to start preparing some of the work associated with that upgrade that would be somewhat onetime in nature.
Laura Havener Hunsicker: Got you. Okay. And that -- the $4 million to $5 million of onetime, that's going to be spread over the year or sort of over the first 2, 3 quarters. How should we think about that?
Mark Ruggiero: Yes. I'd say probably pretty evenly spread over the year, maybe a little bit more in the first quarter to come. But I -- if I had to guess, it's probably $1 million or $2 million here in the first quarter, probably another $1 million or $2 million in the second quarter. And then as we get to the October time line, it probably -- I think a lot of that will be the work that needs to happen over the 6 months, including third-party consulting to just get a lot of the processes documented as we gear up for that conversion.
Laura Havener Hunsicker: Okay. And the conversion is in October?
Mark Ruggiero: That's right. If you recall, we're originally talking about it as May as we started to do some of the initial work in lining up all the teams that are going to be needed. We just felt it was appropriate to give us a bit more time. Further complicating it, you need to get the core provider with the weekend where they can facilitate the conversion as well. So it's almost similar to scheduling and acquisition deal where you need the FISs of the world to be able to have a slot. So the next table slot that we were comfortable with was in October.
Laura Havener Hunsicker: Okay. Okay. And then you mentioned the AI innovation team. What is your spend this next year on AI? Can you share that?
Jeffrey Tengel: I actually don't know what the spend is, but I can tell you what we're doing about it, because I think one of the things that could get people caught in the AI space is trying to boil the ocean and do too much. And so what we've been doing is putting a governance model in place and then have all the kind of AI business use cases flow through this governance to make sure that we're thinking about the right thing. We don't want to have every one of our different business units all doing their own kind of AI Skunkworks. So we'd rather get that flowing through a centralized governance and let that team, which is, as you can imagine, heavily populated by our IT announced folks and have them pick and choose 2 or 3 of these business cases and get them done and show ourselves that we can get and get them done and get them done right, and then we'll bring more ideas into the centralized utility that is going to have a hand in the AI work that we do anyways. So we're trying to be methodical about it because I'd rather get 2 or 3 wins and knowing that it got done correctly, and we got the output that we're looking for than try and do 25 of these in each business unit kind of doing it themselves. I think that would be counterproductive.
Mark Ruggiero: Yes. I'll jump on to that. So from a dedicated spend, the guidance for '26 is exactly as kind of Jeff laid out, it's specifically 3 dedicated individuals that we would expect to sort of create this initiated project. And I would propose, as we learn more through what their capabilities are, if we feel the need to invest more money and/or ramp up from a people standpoint and/or a technology standpoint, we would need conviction that, that is being done with offsets and other expenses through the environment so that it's ultimately beneficial to the expense run rate to keep investing in AI. So I think we need to see those benefits come through, give us conviction to continue to invest in AI, which should allow us to either reduce or at a worst case, hold the line in other expenses.
Laura Havener Hunsicker: Okay. Okay. That's helpful. And then just one more on expenses. Your onetime charges with EBTC, those are finished, correct?
Mark Ruggiero: Those are finished, correct.
Laura Havener Hunsicker: Yes. Okay. Okay. Great. And then just jumping over to margins. Do you have a spot margin you can share with us?
Mark Ruggiero: For December? You know what, Laurie, I actually forgot to bring that with me and at the top of my head, I don't have it because I want to give you a core number, but I can follow up with that. I don't have it in front of me.
Laura Havener Hunsicker: Okay. Okay. And then just 2 more questions on the income statement. The -- just thinking about sort of the nonrecurring, I guess, obviously, the $315,000 of BOLI benefits, but the $7.6 million that you had of other income, what's the nonrecurring piece in there? And that should be running $1 million, $1.5 million lower. Is that right?
Mark Ruggiero: Yes. In the fourth quarter, it was about $400,000 or so on our equity securities book. So whether you call it nonrecurring or not, you do -- we always see a fourth quarter lift because you get capital gain distributions and redistribution that may generate realized gains. So increased interest, dividends, cap gain distributions typically give us a $200,000 to $300,000 lift in the fourth quarter. So that's what you saw as a big piece of that. I'm trying to -- there wasn't anything else of that size. There was probably a few different pieces with $100,000 increases quarter-over-quarter. So nothing really unusual that I would definitively pull out as onetime or nonrecurring in nature outside of those equity securities gains.
Laura Havener Hunsicker: Okay. Okay. And then just last question, just circling back here on office. So I know you talked about the $18.1 million classified that is maturing in the first quarter. The $9.9 million that's criticized, how should we think about that?
Mark Ruggiero: Yes. Let me just -- so the $9.9 million, that is criticized in Q1. That is a participated deal that we have basically received an appraisal that had suggested valuation had been challenged a bit. That appraisal came in at the time the government announced kind of some of the DOGE initiatives, and there was a pullback on GSA leases. So this is a property that is being impacted by that sort of out of market. The sponsor is looking to either refinance or sell, we'll likely be working with the sponsor on that. So we expect there'll be an extension coming. The property is cash flowing. It's continuing to make payments. It's current, but there is likely a longer-term resolution to hopefully get repaid out of that. So I think I -- if I had to guess right now, Laurie, I'd say you'd see that probably with an extension that gets executed in this quarter with hopefully exiting out of that without really any loss at some point in '26, hopefully.
Laura Havener Hunsicker: Okay. Okay. That's great. And then just lastly, the actual increase in the office non performers from the $22 million to the $41 million. Can you just break down roughly what that $18 million, $19 million is?
Mark Ruggiero: Yes. That's one loan. So that was a loan that I mentioned earlier, we actually have a P&S on, where we accepted a slightly lower value than what the appraisal suggested. So that $2 million loss that we expect is already reserved for. That's the only change.
Laura Havener Hunsicker: Got you. Okay. I thought you were talking about the [ $18 million ] classified. My apologies.
Mark Ruggiero: So I know that's the -- well, that is -- yes, that's the $18.1 million classified in Q1. So that was new to nonperforming.
Operator: [Operator Instructions] your next question comes from the line of David Konrad with KBW.
David Konrad: Yes. Just had a follow-up question on the Commercial Banking platform. Your guide for '26 mid-single-digit increase is fair, probably what I would do with all the uncertainty as well. But on the other hand, you've hired a lot of people in the back half of '25, and you grew by, I think Mark said about 9% organically in '25 as well. So it feels like you got a lot of momentum, and this is kind of a slower growth. So are you seeing something in the marketplace, whether it's competition that hold that back? Or maybe talk about potential upside to that growth rate?
Jeffrey Tengel: Yes. So there probably is some potential upside just because I know all the people we hired last year and are they're all very, very talented. I would also point out that in addition to just getting our teams that are already doing well, pushing the zoo even more. We had one line of business that we started in '25, will be done in '26 that we just decided it wasn't where we wanted to be. And so we wound up -- we're in the middle, I should say, of exiting that business. It's around $100 million, give or take. And so we've been in process of moving that. So any of the growth that you see is going to include $100 million of runoff in this specific business segment. And that's a little bit of the headwinds that I think if you -- if we wind up, we're sitting here at the end of the year and we exclude the impact of that runoff, I think the low to mid-single-digit percentage increase could be higher.
David Konrad: Got it. Got it. Okay. And then what was -- what type of loans were in this specific segment you're running now?
Jeffrey Tengel: It's our floor plan business, not to be confused with our ABL business, which we like a lot. This was a business that had floor plan lines [ of ] very small used car dealerships. It was a bit of a legacy Rockland Trust business. And we just got to the point that we didn't have the right systems that help track the collateral. And the loans were small. We didn't think the outlook for this business was good, given the nature of the business. A lot of the floor plan companies are consolidating, just like the OEM part of this. And so to the extent that this just really didn't fit our risk profile.
David Konrad: Got it. And I know, historically, those loans are actually pretty tight credit spreads as well.
Jeffrey Tengel: Yes. Can be.
Operator: There are no further questions at this time. I will now turn the call back to President and CEO, Jeff Tengel, for closing remarks.
Jeffrey Tengel: Thank you. Appreciate everybody's interest in Rockland Trust and have a terrific weekend. And Go Pats. Thank you.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.